Executives: Peter Slan - SVP, IR Brian Porter - President and CEO Sean McGuckin - CFO Stephen Hart - CRO Anatol Von Hahn - Group Head, Canadian Banking Dieter Jentsch - Group Head, International Banking
Analyst: John Aiken - Barclays Steve Theriault - Bank of America Merrill Lynch Robert Sedran - CIBC World Markets Michael Goldberg - Desjardins Securities Peter Routledge - National Bank Financial Darko Mihelic - RBC Capital Markets Meny Grauman - Cormark Securities Sumit Malhotra - Scotiabank Mario Mendonca - TD Securities
Peter Slan: Good morning and welcome to the Presentation of Scotiabank’s 2014 First Quarter Results. My name is Peter Slan, Senior Vice President of Investor Relations for the Bank. Presenting to you this morning are Brian Porter, President and Chief Executive Officer; Sean McGuckin, Chief Financial Officer; and Stephen Hart, Chief Risk Officer. Following their comments we would then be glad to take your questions. Also in the room with us to take your questions are Scotiabank’s Business Line Group Heads, Anne O'Donovan from Canadian Banking; Dieter Jentsch from International Banking; Christ Hodgson from Global Wealth & Insurance; and Mike Durland and Steve McDonald from Global Banking and Markets. As with prior calls, we also have joining us Sabi Marwah, Vice Chairman and Chief Operating Officer; and Jeff Heath, our Group Treasurer. Before we begin, I’d like to refer you to slide two of our presentation which contains Scotiabank’s caution regarding forward-looking statements. And with that I’ll now turn the call over to Brian Porter.
Brian Porter: Thank you, Peter and welcome everyone. We are pleased to announce a good start to the year. Scotiabank earned net income of $1.7 billion or $1.32 per share, representing growth of 6.5% from last year. Our first quarter performance reflects strong results in the Global Wealth & Insurance and Canadian Banking, along with more moderate operating performances in International Banking, Global Banking and Markets. Strong top line revenue growth of 9% reflects our well balanced and highly diversified business model. In addition, ROE remains solid at 15.4%. Our capital position is very strong with Common Equity Tier 1 ratio of 9.4%, an increase of 120 basis points from a year ago. Our ability to generate high levels of capital has allowed us to increase our quarterly dividend by $0.02 to $0.64 per share. This increase reflects the confidence we have in our ability to continue to generate sustainable earnings growth and successfully execute on our disciplined growth strategy. Before I talk about our business lines, I would like to speak briefly about the recent volatility in emerging markets, which our senior team has been monitoring closely. Diversification is one of Scotiabank’s greatest strength and most powerful advantages. It’s a strategy that differentiates us from our competitors, helps us manage through challenging times and provides consistent and predictable results. Our operations in emerging markets are an important long-term growth story for Scotiabank. Not all emerging markets are created equally. We do not have significant operations in the countries that have been the subject of most of the press coverage. We have deliberately chosen opportunities to invest in stable Latin American economies such as Chile, Peru, Colombia, and of course Mexico. These countries have demonstrated sound economic management and discipline and have strong banking and regulatory frameworks. Each one has great potential with a growing middle class, as well as a young increasingly well educated and under banked population. We are well positioned to participate in the good growth opportunities these markets present. An important part of Scotiabank’s success has been our long term approach. We believe the likelihood of faster growth in these emerging economies remains strong. Now let me touch briefly on each of the business lines. Canadian Banking had a good first quarter with all of our retail and commercial businesses doing well. Loan growth was solid against the backdrop of a cooling housing market, moderating consumer spending and the run off of our ING mortgage portfolio. In particular, we achieved strong double digit growth in auto lending a traditional area of strength and in credit cards, which is a key area of focus for us. This growth in higher spread products is helping to offset some of the negative margin pressure from the continued low rate environment. We remain focused on expanses and have several initiatives underway to help reduce structural cost in the business. One of these initiatives that you’ve heard me talk about recently is our operational efficiency initiative, which is moving some of the middle office functions out of the branch network. We expect this initiative to provide meaningful savings, which we have begun to see in fiscal 2013 and ’14 with the balance coming in 2015 and ’16. Finally on another note, we will be hosting an Investor Day here in Toronto focusing on our Canadian PNC operations on April 24th. We hope that many of you will be able to join us, either in person or by webcast. Turning to International Banking, we have strong volume growth in our loan and deposit portfolios and a modest improvement in margins compared to last quarter. From a regional perspective we had strong double-digit loan growth in Latin America and Asia this quarter. Growth in the Caribbean and Central America was more modest. However expenses are up this quarter due to foreign exchange, inflation, business growth and the integration of Crédito Familiar in Mexico, which was completed in December. As I mentioned last quarter, one of our key priorities is to translate this strong volume growth to the bottom line. While the lower margin level will be a headwind for earnings growth in 2014, it has recently stabilized. We continued to focus on streamlining our operating model and maximizing the efficiency of our operations across our footprint to reduce structural costs. With that said, we expect international banking to deliver positive operating leverage in 2014. In global wealth and insurance, strong momentum continued across our businesses, resulting in double-digit earnings growth from last year. We will continue to focus on expanding our international capabilities in our wealth and insurance businesses. In wealth strong net sales and improved financial markets showed strong growth in AUM and AUA. In Canada we saw improved sales performance and dynamic, while sales of Scotia funds continued to perform very well. Internationally we launched several new products across the LATAM region and launched our first fund in China through joint venture with the Bank of Beijing. Turning to insurance in Canada, we continued to increase our creditor insurance penetration against the backdrop of slowly slowing volumes from our mortgage lending business. Internationally our key markets in LATAM are performing well. And finally for global banking and markets earnings were stable this quarter, although down from a strong quarter last year, due mainly to lower contributions from fixed income, however offsetting that weakness where record results from our Canadian corporate lending business and renewed strength in our investments banking business, which is seeing good momentum as we have been a key participant in several large Canadian M&A transactions and follow on financings. We continue to focus on growing our wholesale business internationally within the banks existing footprint and we’re seeing very good growth in this business. Overall I'm pleased with the start of the year and I expect our growth to accelerate throughout 2014. With that I’ll pass it over to Sean.
Sean McGuckin: Thanks Brian. Slide 7 shows our key financial performance and metrics for the quarter. Earnings per share were $1.32, up 6.5% year-over-year, as good results from Canadian banking and strong results on global wealth and insurance, compared to more moderate performances in international banking and global banking end markets. Revenue growth continues to be strong at 9% year-over-year, a result of higher margins, strong broad based asset growth and acquisitions. Also contributing was an increase in banking and wealth management fees, the positive impact of foreign exchange and higher security gains, partially offset by decline in trading revenues. Expense growth was 10% year-over-year. Excluding the impact of foreign currency translation and acquisitions the growth and expenses was 7%. Adjusting further the timing and hedging impacts on performance based and stock based compensation, as well a presentation change of certain revenues and expenses in global wealth and insurance, the underlying expense growth was 5%. Our productivity ratio in Q1 increased modestly from last year to 54.2%, although it improved slightly from the fourth quarter of last year. Moving to capital on Slide 8, the bank improved its strong high quality capital position that is well above regulatory minimums and positions us well for continued business expansion. Our common equity Tier 1 capital ratio was 9.4%, an increase of 30 basis points from the prior quarter. Risk weighted assets were up $14 billion or 5% from last quarter to $302 billion, due to a combination of organic growth and foreign currency translation. This growth also included $5 billion in risk weighted assets from the adoption of the first Tier phase in of Basel III CVA requirements. As Brian mentioned earlier, our strong capital position and the confidence in our ability to continue to generate sustainable earnings growth has allowed us to increase our dividend by $0.02 or 3% to $0.64 per share. We are also eliminating the discount on a dividend reinvestment plan, which is currently at 2%, effective upon the Q2 dividend payout. We will however continue to offer shareholders the opportunity to automatically reinvest their dividends in common shares of the bank. Turning now to the business line results beginning on Slide 9, Canadian Banking had a good quarter with net income of $575 million, an increase of 7% from a year earlier. Revenues were also up 7%. We continue to see solid loan growth of 5% despite the headwind of the ING mortgage run-off with particular strength in credit cards and consumer auto loans. We were seeing good traction from our focus on core deposit gathering, including through our ING Direct channel, resulting in total deposit growth of 5%. The net interest margin was up 1 basis point sequentially driven primarily by increasing volumes in higher spread products. The low rate environment continues to negatively pressure margins. Credit performance remains stable this quarter, up 1 basis point from last year as provisions increased 14% to $134 million, due mainly to a modest shift in product mix. Expenses increased 6% year-over-year primarily from increased compensation, advertising and loyalty program costs and the full quarter impact of ING. The productivity ratio improved to 50.3%, benefiting from positive operating leverage. Turning to the next slide on International Banking; International Banking’s net income was down 2% from last year. Revenues were up 6%, a strong loan growth of 17% particularly in Latin American and Asia help mitigate the decline in the net interest margin. There are also higher expenses and higher provisions for credit losses. On a sequential basis, the net interest margin improved by 3 basis points as a result of margin improvement in the Latin America region. Provision for credit losses was $219 million this quarter, compared to $207 million last quarter. However, the PCL ratio remains stable at 87 basis points. Looking at expenses, expenses grew by 11% year-over-year, which included the negative impact of foreign currency translation and the acquisition of Crédito Familiar. Underlying expenses increased 7%, largely due to higher compensation costs, inflation and continued reinvestment in the business. Turning to Slide 11; Global Wealth & Insurance reported earnings of $327 million, up 15% from last year due to strong growth in both our Wealth and Insurance businesses. Revenues were also up 15%. In Wealth assets under management and assets under administration grew 17% and 11% respectively, driven by growth in mutual fund net sales, improved financial markets and the acquisition of AFP Horizonte in Peru last year. In Insurance, we had double digit revenue growth from last year due to higher cross sell success in Canada and stronger sales internationally. Expenses were up 15% from the same quarter last year, due mainly to higher volume and remuneration expenses driven by business growth and acquisitions. Operating leverage was slightly positive at 0.4% year-over-year. Looking at Slide 12, Global Banking and Markets’ net income was down 13% from last year’s strong performance to $339 million this quarter due to challenging conditions in certain capital markets’ businesses. Year-over-year revenues declined 1%, a strong revenue from corporate and investment banking and global equities were offset by lower revenues in fixed income in precious metals. Credit quality remains strong as provisions for credit losses were low at $3 million this quarter. Expenses were up 12% over last year from higher technology and support cost and the timing and hedging impacts of certain performance based and stock based compensation cost. Compared to the prior quarter, the increase in expenses was entirely due to Q1 seasonality of stock based compensation accruals. The effective tax rate was also higher this quarter at 28% versus 26% a year ago due to a higher level of tax recovery in the prior year. I’ll now turn to the other segment on Slide 13, which incorporates the results of group treasury, smaller operating units and certain corporate adjustments. The results also include the net impact of asset liability management activities. The other segment reported net income of $13 million this quarter compared to net loss of $77 million last year and net income of $16 million in the prior quarter. The year-over-year change in the quarter was due mainly to higher securities gains and higher revenues from asset and liability management activities. This concludes my review of our financial results. I’ll now turn it over to Stephen who will discuss risk.
Stephen Hart: Thanks Sean. The credit quality of our portfolios remains quite strong. The overall loan loss ratio modestly increased to 30 [ph] basis points in this quarter. Canadian Banking’s loss rates were up slightly from historical lows due mainly to a shift in mix to higher margin products. International Banking’s loss rates remains stable from last quarter and Global Banking and Markets’ credit performance continue to be exceptionally strong. In dollars, the provision for credit losses was $356 million versus $310 million last year and $321 million in the prior quarter. The increase over the prior quarter was primarily due to higher provisions in Canadian banking and International Banking's retail portfolios based on our growth initiatives. Net formations of impaired loans in Q1 increased to $408 million, driven by a retail growth in Peru and Mexico as well as lower commercial recoveries in Columbia. Market risk remains well controlled. Our average 1-day all-bank VaR was $19.7 million, up from $17.9 million in the prior quarter with only two trading loss days in the quarter. Turning to Slide 16, that shows the trending provisions over the past five quarters for each of our business lines. As you can see Canadian retail provisions remained relatively stable, although we increased from low levels due to volume growth. The overall portfolio quality remains high with 94% of our assets secured. Canadian commercial provisions also increased modestly both year-over-year and quarter-over-quarter, but remained well below historic norms. Quarter-over-quarter international retail provisions increased as higher provisions in Mexico were partly offset by lower provisions in the Caribbean and Central American region. International commercial provisions declined from last quarter with the previously advised higher provisions in Columbia, partly offsetting lower commercial provisions in the other countries. We expect provisioning in Columbia to remain elevated for another quarter. In Global Banking & Markets credit quality remains strong with low provisions for credit losses of $3 million this quarter, compared to a reversals [indiscernible] in the prior quarter. Slide 17 shows our Canadian banking residential mortgage portfolio. Our total portfolio of residential retail mortgages is 189 billion. Our portfolio continues to be approximately 90% free hold and 10% condo with approximately 55% of the portfolio insured and the rest uninsured. The uninsured portfolio has an average loan to value ratio of approximately 57%, which is unchanged from prior quarters. The loan to value credit score mix and delinquency rates for our condo portfolio are not materially different from that of the overall mortgage portfolio. The credit quality and performance of the residential portfolio remains strong and has been stressed under many severe assumptions, confirming it is well within our risk tolerance. Our disciplined and consistent underwriting standards through all of our origination channels had resulted in particularly low loan losses. And with that I’ll now turn it back to Sean.
Sean McGuckin: Thanks Stephen. That concludes our prepared remarks. We’ll now be pleased to take your questions. Please limit yourself to one question then rejoin the queue to allow everyone the opportunity to participate. Operator can we have the first question on the phone please?
Operator: Thank you. The first question comes from John Aiken from Barclays. Please go ahead.
John Aiken - Barclays: Good morning. A question for Stephen. Stephen in terms of Canadian retail banking provisions, there was an uptick sequentially on personal lending. Can you let us know whether there was any specific portfolio that was driving this?
Stephen Hart: John yes, it was -- basically we’re seeing because of our initiatives in the credit cards which is a higher margin product but it is also a higher loan loss on a dip basis. So between that and the autos which were both growing strongly, we had a slight uptick one basis point overall.
Sean McGuckin: Next question please.
Operator: Thank you. The next question comes from Steve Theriault from Bank of America Merrill Lynch. Please go ahead.
Steve Theriault - Bank of America Merrill Lynch: Thanks very much. Quick question for Anatol. Anatol, I was hoping to get your thoughts on commercial trends. The regulatory data that we've seen suggests pretty consistent month-to-month deceleration in commercial loan growth. But we've had sort of mixed messages from peers this quarter. So I was hoping you could talk to what you're seeing in your book and your medium term expectations for growth. Do you see a decelerating trend or an accelerating the next even one to two years?
Anatol Von Hahn: Let me break that answer up into two types in the commercial portfolio, if we look at the medium to larger loans and then the smaller ones, because we’re seeing different trends in them. In the larger portfolio I’d say we’re continuing to see good demand and I expect that to continue to happen over the course of the next -- we’ll speak for the next year or so, the next four quarters. In the smaller and medium sized businesses we’re seeing a lot of restructuring, where companies are taking their loans and either terming them out. But we’re not seeing a lot of growth there. What we have seen is some changing of banks and it really comes down to terms and conditions. I think we’re going to see, that’s a real reflection of the economy and I think we’re going to see some growth there. Our pipelines are still quite good in both segments but if I had to look forward for a year, I think we’ll see more on the larger loans and somewhat less on the medium and smaller ones.
Steve Theriault - Bank of America Merrill Lynch: And what's your waiting the large versus medium to small?
Anatol Von Hahn: In terms of outstandings?
Steve Theriault - Bank of America Merrill Lynch: Yeah.
Anatol Von Hahn: It’s about two-thirds, one-third; two-third larger, one-third smaller.
Steve Theriault - Bank of America Merrill Lynch: If I might, can you tell me what the card growth was year-over-year for you guys?
Anatol Von Hahn: We doubled. In terms of the volume of new credit cards, we’re generating about twice as many new credit cards this year over last year. And in terms of outstanding, it’s somewhat lower and in terms of purchases through the credit cards, it’s substantially higher.
Steve Theriault - Bank of America Merrill Lynch: So the outstandings are a touch lower year-on-year?
Anatol Von Hahn: No, it’s less than double. So whereas my credit cards are -- number of credit cards are doubling, the outstanding isn’t at that same pace but the amount of volume with which those credit cards are purchasing goods is about double.
Operator: Thank you. The next question come from Robert Sedran from CIBC World Markets. Please go ahead.
Robert Sedran - CIBC World Markets: Quick question on the currency translation for Sean I guess. On Page 7 of the report to shareholders it shows about $0.02 or $0.03 impact from currency translation. So a couple of questions around that. First, is that just U.S. dollar or is it all currency translation? And then can you perhaps talk about how we should think about your U.S. dollar exposure? There is a lot of different areas in which it effects Scotia and I’m wondering on the hedging side as well if you can just kind of go through how you guys look at the hedging whether you’re hedging income statement or just capital. Please.
Sean McGuckin: All right, so on Page 7, although we only show the Canadian - U.S. dollar change in exchange rate, the dollar amount we quantify is for all currencies. So that $35 million, I think it was is for all currencies. Our U.S. currency would be about half of our foreign currency exposure. We would have mostly in International Banking and Global Banking & Markets, a little bit in Wealth, but not very much. In terms of hedging we look at the earnings both in the subsidiaries and the branches and we hedge a large portion of that that at the beginning of the year and as the year progresses. In terms of the hedging of our net investment position in our subsidiaries, that is also hedged to really try to mitigate the capital ratio volatility. So, as you may see, our capital ratio has moved only about 5 basis points because of foreign exchange, notwithstanding the large foreign currency changes.
Robert Sedran - CIBC World Markets: So, Sean if I think about the income statement impact then, you’ve got a hedge, you’ve got hedges in places. So the currencies moved quite rapidly. Is there something that will then bleed in over the year or is it longer or shorter than that?
Sean McGuckin: If rates stay generally where they’re at, at January 31st for the balance of the year, we’d expect to see a slightly higher number than the number you saw on Q1, that 35 million, a bit higher than that for the remaining three quarters of the year.
Operator: Thank you. The next question comes from Michael Goldberg from Desjardins Securities. Please go ahead.
Michael Goldberg - Desjardins Securities: You had $252 million of gross formations in International. How much of that was in the Caribbean? And can you also comment on how stress credit quality may be in the Caribbean now?
Dieter Jentsch: Maybe Michael I’ll start that. Its Dieter Jentsch here and then Steve you can add to it. The Caribbean had a reduction in our loan losses this quarter and it’s from moving our allowances of historical. We actually have a very solid position in our retail portfolios in the Caribbean. Most of the increase in International came from retail and came from Mexico and Peru. And in Peru there was a change in the credit card legislation, which required people to make minimum principle payments and then resulted in some increase in [indiscernible] along with growth. And in Mexico, we launched an unsecured product and we brought up the allowances in line with the next product offering. On a risk adjusted return, it’s performing well that we need to bring other allowances to take into account the unsecured nature of the product.
Michael Goldberg - Desjardins Securities: I was actually asking about the gross formations of 252, if you could tell me about that in the Caribbean?
Stephen Hart: Most of that was on the retail side. The commercial portfolio in the Caribbean has actually stabilized and we’re continuing to see new interest, new money coming in to the region. So most of that was showing up on the -- for international retail. Our commercial portfolio, the formations were mainly, the largest ones were down in Columbia, which we mentioned before. There were -- we had a couple that we’re still cleaning up from the acquisition of a year ago.
Michael Goldberg - Desjardins Securities: So, nothing really serious for you in the Caribbean?
Stephen Hart: Definitely not, no.
Michael Goldberg - Desjardins Securities: Okay. And can you just comment about credit quality? Because it seems like there is --some of your peers are showing more negative trends in credit quality in the Caribbean.
Dieter Jentsch: I would just -- I would go back to this. We’ve actually seen Michael some increased international interest in the Caribbean, money falling back into the Caribbean. We’ve taken conservative positions over a period of time in the Caribbean and quite frankly, as I mentioned earlier we’re actually seeing our delinquency numbers and our loan ratio fall in the Caribbean. And our experience in the Caribbean is playing out the way we anticipated.
Operator: Thank you. The next question comes from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge - National Bank Financial: Quick question for -- I guess for Sean or maybe Jeff Heath if he’s there on the other segment. Just looking at the net interest income line and it’s going from a significant cost and that was trending, it’s a revenue contributor. So can you give us a little color of what’s driving that and sustainable it is?
Sean McGuckin: I’ll give some color on that. So the other segment is the residual of what gets allocated out to various business lines. One of the things that has been occurring over the past year is some of the higher cost term debt that was put on just after the crisis five years ago is now paying off and being replaced with much lower cost debt. And as the assets -- that original debt was funding have been refinanced over the last couple of years, i.e. mostly mortgages, then that cost, that higher cost was being borne in the other segment. So as that higher cost debt burns off, then that should benefit to the other segment. So a lot of that has now been burnt off. So you won’t see the same lift. There will be a bit more lift next quarter but nowhere near the same lift year-over-year as we saw this quarter. And as well the subordinated debentures, which were at a higher cost, we'd had some maturities during last year which also reduces the cost that's left behind in the other segment.
Operator: Thank you. The next question comes from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic - RBC Capital Markets: Also a question with respect to your supplemental. So I'm going to take you to two different pages actually. On Page 5 with the International Banking, there is some significant growth in the other assets and also was well on Page 7 similarly with the Global Banking & Markets, there was also very large growth in other assets quarter-over-quarter. I realized there is probably going to be some FX in there. I'm just curious what these assets are and how important they are to the net interest margin?
Sean McGuckin: A good portion of those assets relate to we have a significant deposit from our pension fund in Peru when we would have put them in securities as we wait for the outcome of the pensions funds investment. About a $1.2 billion of those assets will go our balance sheet and would put in the other category.
Stephen Hart: The other assets in the Global Banking markets, I think that’s the deposit mark [ph] to market on derivatives, which moves around a lot as you know and foreign currency would have a big part of that because many of the swaps that would be foreign currency based as well.
Darko Mihelic - RBC Capital Markets: So just a follow up. Why are those not included on the international side? Why wouldn’t it be included in the investment securities portfolio?
Sean McGuckin: We're not showing our exact point. So we’ll get back to you on that Darko.
Operator: Thank you. The next question comes from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman - Cormark Securities: Good morning. I just had a question about two of the more difficult regions that you operate in, less important areas for you but otherwise I'm wondering about Thailand specifically and the impact of the civic unrest there on your business, on your interest there? And also of an interest in Venezuelan bank and the situation there seems to be getting from bad to worse. I'm wondering what your thoughts are there in that country specifically.
Dieter Jentsch: It’s Dieter Jentsch here. First of all on Venezuela the situation that we all read in the media is troubling in Venezuela. We have a very good bank that is still performing well interesting enough notwithstanding the turmoil. We’re not quite sure how this is going to play out. Our net equity exposure is about $200 million. So we have a relatively small investment in Venezuela. And at this point the prognosis of Venezuela is uncertain at best. Meanwhile our bank there continues to perform as I mentioned reasonably well given the circumstances. Moving to Thailand, Thailand as we all know is undergoing some uncertain times when the economy certainly pulled back a lot in the last two quarters of the fiscal year. There has been some positive news where the various parties are now talking about how to resolve this issue and there is no doubt that at this point we do not know how long this will be prolonged in terms of the discussions. Meanwhile the economy of the mission has slowed. The country remains in a highly -- from a banking point very liquid and our bank there is very liquid and continues to operate in a satisfactory manner. The outlook in terms of going forward depends of course on when we have the government return back to a more normal normalized operating mode and we anticipate if it’s prolonged it could impact us up to $10 million a quarter going forward until this is resolved.
Operator: Thank you. The next question comes from Sumit Malhotra from Scotiabank. Please go ahead.
Sumit Malhotra - Scotiabank:
 :
Dieter Jentsch: As you can see, our margins has stabilized modestly this quarterly, about 3 to 4 basis points and we continue to see and anticipate our margins to improve and where we are currently to about 4% range. It is fair to say though that there will be headwinds for the remainder of the year as we work through some of our asset allocation and some of the interest rate drops we had in various markets. But we believe we are at a level set and moving forward to within a range between where we are to 4%.
Sumit Malhotra - Scotiabank: Thanks for that. And then very quickly for Brian on capital. Certainly a very good turnaround for the Bank from where it was, the capital ratio was a few years back and wanted to talk to you about deployment versus the regulatory environment. We’ve heard about the buffer that maybe required over the 8% [indiscernible] fee floor. You’ve certainly got a descent one right now. So wanted to ask you, do you feel that it’s more prudent in the environment we’re in right now to maintain the capital position at this elevated level or the reference that the Bank has made to buybacks being part of the toolkit; is that a tool that you’re ready to take out of the box right now or would you prefer to maintain capital at a heftier buffer?
Brian Porter: Well Sumit, as you said we made a lot of headway on Common Equity Tier 1. We’re up 120 basis points year-over-year. We like how we’re positioned here. It provides the Bank some optionality and as you know acquisitions have been part of the Bank’s strategy from time to time as we’ve been opportunistic. So we like where we are and we’ll monitor accordingly. And as I said in the last call we like to have buybacks in the kit bag and again that provides us optionality.
Operator: Thank you. The next question comes from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca - TD Securities: A question on Brian, you comment about getting to positive operating leverage in International in 2014. Is there anything specific you can offer on how you get there? Is it more on the expense side, revenue side, both? That’s the first part of the question. The second sort of related is, you refer to inflation as being an issue in terms of driving higher expenses year-over-year. Is there any reason why inflation would have a more meaningful impact on the expense line and not impact say for example the revenue line?
Brian Porter: Good question. Just on -- I was in Mexico the week before last. Inflation in Mexico was running at 3.5%-4% and that gets embedded in your cost structure of any bank. Inflation rates are somewhat a little lower in Columbia, and Peru and Chile but there's still evidence. So that’s the reality of operating in these different economies. But you’ve heard us say too, we’re seeing it in terms of asset growth where we see if we have GDP in a country of 4% or 5%, we expect to see asset growth of 2 to 2.2 times that in terms of loan growth over a period of time. So you do make up for it on the asset side or at least there is some congruency there. And just go back, your first question again.
Mario Mendonca - TD Securities: Yes, the reference deposit of operating leverage on the total Bank basis -- oh sorry, in International for 2014 just seemed positive and ambitious, particularly in the context of a 5% or a negative 5% operating leverage this quarter. So be helpful to understand what gives you that confidence?
Brian Porter: Well, Dieter and his crew have been working on their structural costs. As you know we’ve been acquisitive throughout the region and we’ve acquired a lot of different businesses over time and we’re working on a number of efficiency exercises, whether its datacenters or contact centers, and just making the whole operation become more efficient. Dieter, you might want to add?
Dieter Jentsch: Yes, I think if you were to look at this quarter and you adjust for foreign exchange and the sale of the non-strategic business that we had in Q4 of last year, which is about $25 million, if you adjust for those, International in fact had flat operating leverage. Now to Brian’s point, if you looked at the complexity and breadth of our businesses, we can anticipate we’re going to have some quarters of negative operating leverage but continue to have a target of positive operating leverage by the end of this year. We are undertaking a series of initiatives and the framework to do with our core structural cost dealing with our platforms, consolidating our platforms in Latin America, looking at how we combine some of the back office processes. And it’s really focused on moving our structural cost down over the next two to three years. But certainly I want to reiterate that we continue to have a target of positive operating leverage by the end of this year.
Mario Mendonca - TD Securities: And I just for perfect clarity, when you say positive operating leverage I want to make sure you mean for the full year 2014 and not say by the end of the year in Q4?
Dieter Jentsch: I mean for the full year by 2014.
Operator: Thank you. We have a follow up question from John Aiken from Barclays. Please go ahead.
John Aiken - Barclays Capital: Good morning. Follow up for Anatol. Anatol, we got Dieter’s viewpoint on the outlook for net interest margins. But what’s the outlook for your operations. And can we see any additional benefit coming through from ING or is that largely played out?
Anatol von Hahn: Yes. Two things, one in terms of as we look for the Canadian bank on the margin, I think you’ve seen it stabilize. We’ve had a small increase quarter over quarter and also if you look at us year-over-year for the quarter. I think that’s where we’re going to see it. We’re seeing pressure on the deposit side, the loan side. Particularly in the mortgages there is still a little bit of room. A lot of it will depend on how the spring mortgage sale period goes forward. But I think you’ll see it stable. I don’t think you’ll see any big changes.
John Aiken - Barclays Capital: Anatol, on the deposits, is there any particular pressure between personal or commercial?
Anatol Von Hahn: No I’d say we’re sensing small business, commercial and on the retail its lot more visible, I think in the retail segment. But the pressure is there. It’s back to the traditional all-out fight on the street for the deposits, for the business.
Operator: Thank you. We have a follow up question from Michael Goldberg from Desjardins Securities. Please go ahead.
Michael Goldberg - Desjardins Securities: Brian you were talking about emerging markets and there was increased uncertainty in the past quarter. Does this represent increased opportunity for Scotia? And what emerging markets in particular look interesting to you?
Brian Porter: Well as Dieter said and his team is very focused on our principal markets; Mexico, Peru, Columbia and Chile because we’re working on different efficiencies exercises in all those markets. As I said we have been very acquisitive and we think that there is work to be done on our cost structure there. And we see tremendous growth opportunities in those marketplaces. And as you know Michael, you have been watching this bank over a long period of time. We have the tendency to be opportunistic from time to time and if we see something that looks interesting, that’s on strategy we’ll take a good hard look at it.
Michael Goldberg - Desjardins Securities: I'm sure you are not going to tell us any specifics but do you see any particular opportunities at this time that you could potentially be acting on over the next one or two quarters?
Brian Porter: No, it’s consistent with the same you have heard from the bank before Michael is that it’s not just the International business. We see opportunities in Global Wealth and Insurance business from time to time and as you know we were acquisitive in that business last year. So the phone continues to ring and there will continue to be opportunities within our footprint.
Operator: Thank you. We have a follow up question from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic - RBC Capital Markets: I apologize if I missed this. I just wanted to revisit the Columbia, the remark you made during the opening statements about elevated for another quarter in terms of loan loss provisions. Why is it going to remain elevated and why should we think of it as elevated for just one more quarter?
Sean McGuckin: As you know, we picked up our Columbian operations a little over a year ago and we've been going through the portfolio in a more intensive manner facility by facility. So as that’s happened, the formations have occurred over the last six months. And as we take a look at action plans for these formations, that usually results in the provisioning coming through. So that’s just a natural process of taking over a new operation.
Darko Mihelic - RBC Capital Markets: And maybe one last follow up for Dieter. With the concerns emerging in emerging markets, we could see your quarterly results in terms of asset growth. I wanted to ask if you have seen anything recently on the ground with respect to business confidence or any change in consumer behavior as a result of these concerns or if it’s still not reflected at all with your customers.
Dieter Jentsch: No when we look at, and Brian mentioned this in his opening comments, the markets where we -- predominately our business is in, those economies of Chile, Peru, Columbia and Mexico are all -- continue to expect it to perform well in 2013 and 2014. And in fact in Mexico you've seen a much renewed level of confidence is that government now takes full hold of some of its reforms. And our projections from growth and what we've heard from the business community tend to be very positive, still sitting anywhere from 3.5% to 5% depending on the economy. So to your question is we have no heard any negative underlying themes, and quite the contrary, it tends to be very positive.
Sean McGuckin: I was just going to add to that. I was in Mexico two weeks ago on the Prime Minister’s visit there and with the structural reforms in the economy, whether it’s labor reform, fiscal reform, energy reform, there is a lot of potential for Canadian business there and that was reflected in that trip. I would also say -- and I'm frequent visitor to Mexico. I'm there three or four times a year. The amount of investment we’re seeing in Brazil and Mexico or Chile and Columbia throughout this footprint is significant and continuing to grow.
Operator: Thank you. We have a follow up question from Peter Routledge from National Bank Financial. Please go ahead.
Peter Routledge - National Bank Financial: A follow up for Sean just on the other segment. On the other operating income line you adjust for the taxable equivalent adjustment and it looks like that line has a big ramp up the last couple of quarters. If you can quantify what securities gains might be in that number? And what’s the sustainability of those gains through the balance of this year?
Sean McGuckin: The security gains would be the largest component of that other operating income. I would say about 60% of the security gains this quarter were in the other segment, higher percentage last quarter. In terms of sustainability, we’ve seen very good equity markets. We would expect security gains to be somewhat elevated again next quarter. That’s about as much color as I can give on that.
Operator: Thank you. We have no more questions.
Brian Porter: Okay. Thank you for all participating. And we look forward to talking to you next quarter. Thank you.
Operator: This concludes the conference call. Thank you for participating. You may now disconnect.